Operator: Good morning, everyone, and welcome to Sculpture Capital's Fourth Quarter and Full Year 2022 Earnings Call. At this time all participants in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to introduce your host for today's conference, Ellen Conti, Head of Corporate Strategy at Sculpture Capital. Please go ahead.
Ellen Conti: Thanks operator. Good morning everyone and welcome to our call. Joining me are Jimmy Levin, our Chief Investment Officer and Chief Executive Officer; Wayne Cohen, our President and Chief Operating Officer; and Dava Ritchea, our Chief Financial Officer. Today's call contains forward-looking statements, many of which are inherently uncertain and outside of our control. Before we get started, I need to remind you that Sculpture Capital's actual results may differ possibly materially from those indicated in these forward-looking statements. Please refer to our most recent SEC filings for a description of the risk factors that could affect our financial results, our business and other matters related to these statements. The company does not undertake any obligation to publicly update any forward-looking statements. During today's call, we will be referring to economic income, distributable earnings and other financial measures that are not prepared in accordance with US GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release, which is posted on our website. No statements made during this call should be construed as an offer to purchase shares of the company or an interest in any of our funds or any other entities and they are not intended as such. Today we reported GAAP net income of $1.7 million for the fourth quarter of 2022 or $0.07 per basic and a loss of $0.19 per diluted Class A share. For the full year 2022, we reported a GAAP net loss of $12 million or $0.48 per basic and $1.77 per diluted Class A share. Our distributable earnings were a loss of $5.4 million for the fourth quarter or $0.10 per fully diluted share. For the full year 2022, distributable earnings were $56.4 million, or $0.96 per fully diluted share. Additionally, we declared a cash dividend of $0.20 per Class A share. All earnings metrics discussed by both Jimmy and Dava will be on our non-GAAP economic income and distributable earnings metrics. I will now hand the call over to Jimmy.
Jimmy Levin: Good morning, everyone. Appreciate you all joining the call this morning. I'm going to start with a review of our business for 2022 and then I'm going to hand it over to Dava to cover the financials in more detail. Overall, 2022 was a historically challenging year for financial markets. Against that backdrop, the business made $56.4 million of distributable earnings or $0.96 per fully diluted share in 2022. We were able to achieve this result, thanks to the diversity of our fund platform. Because of our multiple revenue streams from various funds, we can still generate earnings and cash flow in a tough year for markets. At the beginning of 2022, we laid out our goals for the business across investment performance, flows, new initiatives and balance sheet. At the conclusion of the year, we wanted to comment on our performance against those strategic goals. The first was investment performance with the goal of compounding capital over the long-term consistent with client objectives. If we take a step back to talk about the overall macro environment, 2022 was an unusual year for the markets and one of the most volatile years on record. Global equities had their worst year since 2008. Balance 60-40 portfolios were down almost 20% in 2022, as both stocks and bonds declined. They're worse in '08 by a wide margin. Overall, it was a big down year across pretty much most risk assets. Turning to our own performance for 2022. In opportunistic credit, our funds experienced significant relative outperformance in 2022, versus relevant benchmarks and indices. Recall, our strategy here benefits from largely duration to neutral exposure, which is a key differentiator in our investment side. For 2022, our Credit Opportunities Master Fund generated a gross return of minus 3.2% versus the BAML Global High Yield Index which returned minus 13.2%. This represents a 10% excess gross return versus global high yield for the year, bringing annualized excess gross returns versus the BAML Global High Yield Index to 8.2% since inception. Our 2022 performance built on exceptional performance in 2021, where our op credit funds returns represented their largest annual excess return over high yield, in that case 22% versus 1.4%. The current credit environment provides attractive opportunities for our style of investing. The increased volatility in markets, tight financial conditions, higher rates, constrained capital markets, all help provide an attractive backdrop for our style of investing. In real estate, we continue to invest and harvest capital successfully. We focus on nontraditional niche asset classes within real estate, producing returns that are less correlated to the broader markets and to traditional real estate markets. This diversification and unique structuring of deals also leads to less exposure to rising interest rates versus broader real estate markets. In Fund III, currently in its harvest period, the overall portfolio saw a 15% increase in value year-over-year in a falling real estate market. This was driven by the monetization of some exceptional investments during the year, bringing life-to-date annualized gross returns for the fund to 30%. In Fund IV, we remain well positioned with dry powder to capitalize on opportunities that may arise from current market conditions. In multi-strategy, we were down 11.6% gross in 2022, with balanced 60-40 portfolios down 19.1% for the year. As a reminder, our investment approach in the multi-strategy fund is not market neutral. As a result, we historically have and would continue to expect some downside capture in the multi-strat fund in major down years for risk assets. Given the market backdrop, we would have expected the multi-strat fund to be down 8% or 9%, meaning our downside capture in the multi-strat fund was modestly higher than expected, but not out of the context with the historical range of outcomes for that fund. We set performance metrics for our fund, but we can undershoot them or overshoot them in a given year, and we evaluate that over a longer period of time, recognizing that in the multi-strategy business, there have been years of outperformance and years with performance that did not meet our expectations. Before 2022, we had entered the year with some of our best trailing performance for the multi-strat fund with three-year annualized gross returns of 18% and five-year annualized gross returns of 13%, surpassing our stated investment objectives. So far in '23, albeit a short period of time, we've had a good start to the year, with the credit opportunities fund up 2.3 net in January and multi-strategy up 4.1 net in January. And February, while not finalized has also been off to a strong start with solid performance in both areas. Our second goal was fundraising with a focus on growing longer-term AUM by maintaining and accelerating real estate and credit flows, while continuing to turn the tide on capital raising for our multi-strategy funds. We headed into 2022 in a strong fundraising position after reaching an inflection point in 2021 in terms of flows. On the back of this the first quarter of 2022 was one of the best fundraising quarters since 2014 raising almost $500 million into multi-strategy and $1.4 billion across the platform. In the first quarter, we also held first closes for our Real Estate Credit Fund II, the second vintage in that series. Our Sculptor Tactical Credit Fund we call it Stacks [ph], which is the latest vintage in our series of seven closed-end opportunistic credit funds, these products grow our longer term AUM adding additional stability, diversification, and duration to our platform. Our momentum in the first half of the year across the platform slowed dramatically in the second half of the year. Our third goal was to launch new initiatives with a focus on those that fit our investment philosophy, capabilities, and culture. To that end, we closed on a $350 million structured alternative investment solution in the first quarter of 2022, which was tailored to insurance clients. This is the hallmark of Sculptor Insurance Solutions allowing us to deliver our core investment capabilities to the insurance industry and a structure tailored to the specific objectives of those clients. We continue to evaluate and work closely on other similar initiatives. Our last goal was on efficient balance sheet management. We spent the last several years focused on growing our balance sheet from a deficit to a net asset position. 2022 proved how important this initiative was because when the markets got worse, instead of needing to play defense, we were able to play offense by investing in our business and repurchasing shares when our stock price dropped. We bought back $32.5 million worth of stock during the year. I will now hand the call over to Dava.
Dava Ritchea: Thank you, Jimmy and good morning everyone. Before we get into the drivers of our earnings for 2022, we wanted to step back and give some perspective on the year. Against the backdrop of one of the toughest years for the financial markets since 2008, our business made $56.4 million of distributable earnings or $0.96 per fully diluted share. This result is a direct outcome of some of the building blocks we've put in place over the past several years to strengthen our business including building management fee earnings, diversifying our product mix, aligning our cost structure, and strengthening our balance sheet. I'll discuss each of these and the impact of them on our 2022 results. The first building block is management fee earnings. Our platform as it stands today has significant embedded scalability in the core franchise. What I mean by that is we can materially increase our AUM in our core products without materially increasing operating expenses. We illustrated that from 2019 to 2021 as we grew our management fee earnings as fund appreciation drove AUM growth. AUM increased during this period from $32.5 billion at the beginning of 2019 to $38.1 million at the end of 2021, but we've largely kept our fixed costs flat. Our management fee margins expanded over this period and we could have materially expanded them further by continuing to increase AUM without materially increasing our fixed costs. We reversed that trend in 2022. We started the year with $38.1 billion in AUM, our highest start of the year since 2016. However, over the course of the year and largely as a result of fund appreciation, AUM decreased to $36 billion. Given the starting balance for the year we still had a contribution to earnings from management fees in 2022, but our 2023 run rate will be lower. This will impact management fee margins in 2023 as we do not expect material changes to our fixed cost base. This overall period from 2019 to 2023 highlights how our management fee margins are impacted by changes in AUM. As Jimmy mentioned, we had a strong start to the year with one of our best fundraising quarters in Q1 and continued momentum into Q2. Our net inflows for the first half of 2022 were $1.6 billion across the platform. However, in the second half of the year, we saw fundraising slow dramatically, impacted by the resumption of legacy corporate noise along with broader industry trend. In the second half of the year, we had net outflows and distributions across the platform as normalized redemptions occurred with limited offsetting inflows. The net outflow and distributions in the second half of the year offset the net inflows and distributions in the first half of the year. Overall, redemptions for 2022 represented normalized levels in multi-strategy and opportunistic credit with combined lower redemptions as a percent of the beginning period AUM in 2022 than 2021. The next building block of our earnings is the diversity of our fund platform. Over the past decade, we diversified our platform into credit and real estate. And as a result, our 2022 incentive income was primarily driven from these areas. In real estate, incentive income was primarily driven by Fund III. Over its life, this fund has delivered a 2x multiple on invested capital and a 30% gross IRR. This fund is in harvest and had several large realizations this year, as it's returning capital to investors. In opportunistic credit, incentive income was driven by crystallizations of our ABURI balance. In multi-strategy, we did not generate meaningful incentive income in 2022. Our multi-strategy funds have high watermarks, so we will need to earn back this performance before collecting incentive income. As Jimmy mentioned, we had a strong start to 2023 in terms of fund performance in January for both opportunistic credit and multi-strategy. Including February performance to-date, which is not yet finalized, we have substantially recovered our losses and reduced our high watermarks in opportunistic credit and have made meaningful progress on this in multi-strategy. The next building block is our cost structure. As discussed, our fixed compensation has largely been in line with prior years and we would expect that continue into 2023. Our GA&O expense trended higher during 2022, since we incurred approximately $10 million of elevated legal expenses related to the books and records actions and the activities of the Special Committee of our Board of Directors. We would expect to see these elevated levels continue into 2023. Our normalized GA&O spend, however, remains relatively in line with the prior year. On to variable compensation. As a reminder, our variable bonuses are based on fund performance. Given our absolute performance in 2022 was weaker than it was in 2021 in both opportunistic credit and multi-strategy, our variable bonuses were down meaningfully year-over-year in line with performance. What largely drove variable bonus in 2022 was carried interest profit sharing in our real estate business, which generated incentive income for the year through portfolio realizations. Our compensation expense matches the incentive income recognition in this strategy. Our fourth building block is the strength of our balance sheet. As Jimmy mentioned, we are in a strong position in terms of our balance sheet. Our adjusted net assets were $322 million for the quarter, which is equal to our cash plus investments in funds and CLOs less our debt. Adjusted net assets was down from 2021, primarily from share repurchases, as we return capital to investors and we experienced some depreciation of our fund investments and CLOs. This was largely due to mark-to-market on our CLOs and our structured alternative investment solutions. If we look at the longer-term trend, adjusted net assets is up significantly from 2018 when it was a deficit of $55.8 million. In addition to our adjusted net asset balance, we have significant expected value from our ABURI balance, which is our accrued but unrecognized incentive income. Our ABURI ended the year at $161 million. This balance came down versus 2021 as we crystallize ABURI into incentive income on both our opportunistic credit and real estate funds and experienced some losses in our opportunistic credit balance from fund appreciation. Our ABURI balance for real estate is primarily driven by Real Estate Fund III which is currently in harvest mode. We would expect to continue to see this ABURI crystallize into incentive income, as capital is returned. Real Estate Fund IV is in its investment period, so we would expect to see ABURI balance from this fund increase over time, as we continue to invest capital. As a reminder, as real estate ABURI is crystallized into incentive income, we expensed the associated compensation. In opportunistic credit, the next major crystallization event for ABURI balance is expected to be in 2025, different than in real estate, as opportunistic credit ABURI is crystallized into incentive income, the associated compensation has already been largely expensed in prior periods. In 2022, we used our balance sheet to take advantage of declining share prices to repurchase stock. During the year we returned $43.8 million back to shareholders, $32.5 million through our share repurchase plan and $11.3 million through dividends. For the fourth quarter, we announced a cash dividend of $0.20 per Class A share, bringing full year dividends to 20% of distributable earnings. As a reminder, we only pay dividends to Class A shareholders during the distribution holiday. To-date, we have earned $528 million of the $600 million distributable holiday economic income target. We will continue to evaluate the best uses of our capital, while maintaining an ample balance sheet to help weather any potential downturn. Lastly, as a reminder, on November 18, we announced the formation of a special committee. The special committee is comprised solely of independent directors to explore potential interest from third parties in a transaction with the company that maximizes value for shareholders. We are not going to provide any more details about that process until it is appropriate to do so, so there is no update for this call. To wrap up, our focus for 2023 is first and foremost generating successful returns for our clients. Given the likelihood of continued volatility in the market, we think this presents an opportunity to showcase the value of our investment capabilities, while delivering long-term value to both fund investors and public shareholders. With that, I'll hand the call over to the operator and open it up to any questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Gerry O'Hara with Jefferies. Please, go ahead.
Gerry O'Hara: Great. Thanks for taking the question this morning. Jimmy, maybe starting with you. You mentioned sort of under goal number three, some of the new initiatives setting, obviously, the one that was tailored toward insurance clients, but hoping you might be able to add a little bit of color as to what other new products might be in the works, if it's appropriate at this time.
Jimmy Levin: Sure. So we had a first close last year on a closed-end opportunistic credit fund on the debt -- closed end real estate credit fund on the structural alternative solution. We mentioned we had done one of those in 2022. We also have a non-traded REIT in the works where there's been some coverage of that topic. So all in our key areas of focus, all sort of consistent with the theme of long-dated capital in the areas that we're really excited about. Again, a lot of that momentum came out in the back half of the year, but the products are the products. 
Gerry O'Hara: Fair enough. And then Dava perhaps one for you. I know there wasn't specific guidance looking forward to 2023. But was the -- one clarifying question the $10 million of elevated legal fees I believe that was for full year 2022. I think it was back-end loaded though. So just trying to get a sense of how to kind of think about that on a full year or quarterly run rate basis. And then perhaps more specifically salaries and benefits look to be kind of tracking in that $18-ish million? Is that a good baseline to think about the quarterly run rate heading into next year?
Dava Ritchea: Sure. So let me take – excuse me, each one of those in turn. So you're right on the $10 million elevated legal fees about 70% of that was in the fourth quarter. We would expect some of that to continue into Q1, and we can provide further updates at that point in time on that. On the salaries and benefits portion, I think, that's a fair overall run rate to be leveraging. 
Gerry O'Hara: Okay. Great. Thanks for taking my questions this morning.
Operator: Next question Patrick Davitt with Autonomous Research. Please go ahead.
Patrick Davitt: Hi. Good morning. Could you speak to what extent the portfolio management capabilities of the credit real estate and multi-strat businesses are easily siloed, or would it be tough to slice those into separate stand-alone businesses?
Jimmy Levin: Yes. I mean it's a pretty well-integrated investment platform. We've run that way since the beginning. I'd say certain investment capabilities are more distinct than others, but a lot of the value, we've historically been able to deliver we think comes from the collaboration across areas. So it's been a key part of the culture. Certain areas are more tightly intertwined than others. 
Patrick Davitt: Okay. Thanks. And starting to see signs of a little bit more stress in office credit so could you update us on how exposed your real estate businesses to both office equity and debt. How that bucket is positioned for what looks like and how that bucket this position for it looks like an increasingly tough outlook there?
Jimmy Levin: Not a material part of what we do.
Patrick Davitt: Got it. Thank you.
Operator: Next question comes from Bill Katz with Credit Suisse. Please go ahead. 
Bill Katz: Thanks so much. So just a question for you. As you look at where the stock is trading today, and you look at your cash position at the end of the year, I think, that's about 70% of that. As you think about what some of the conversations might be with the special committee and potential strategic investors, how do you contemplate, or how do you think through the possibility of an MBO versus an independent course from here? 
Dava Ritchea: Thanks, Bill. Appreciate the question. At this point in time though we don't think it's appropriate to give an update on the special committee process and we'll do that when we believe it's appropriate. 
Bill Katz: Okay. Let me ask a question on just capital then. So as you think about this year I think part of it Jimmy was getting sort of the balance sheet in great shape which you've done and then sort of using that to both invest into the business and grow. Where are you in terms of sort of that reparation of the balance sheet? What new areas do you think you need to invest in? And how to think about capital return to investors as we look out into 2023? 
Jimmy Levin: Sure. I'd say, we're always doing some of both and we've been talking about this for years on this topic. There's almost no limit to how much balance sheet one would want to build. I'd say, more is more. That said, as we were building that, we said, when things come up we're going to want to spend what we've built, if we think the returns pay off. The first material opportunities for that came up both during the year 2022. One was to support a lot of those growth initiatives we talked about in the first half of the year that were assisted by the use of our balance sheet, and secondarily on a buyback when the market gave us the opportunity in terms of the price action you described. So it's an imperfect answer, but we're going to keep doing both, keep building and keep every day evaluating what those uses are, and if the uses are better than the build then by airway. And that I think 2022 should give you some good insight into that risk/reward analysis.
Bill Katz: Okay. And just maybe one last one. Thanks for the taking the questions. Some of your peers are starting to talk about sort of growing opportunity for liquid alternatives after a normalization of interest rates a little more volatility certainly have a very good long-term track record, but you mentioned the corporate governance issues as well hindering gross sales. How do you think about that opportunity set into 2023? And when you look at your organic growth for the year, where do you see the best actual opportunity to grow?
Jimmy Levin : Yes. So I think you answered both parts of it yourself successfully, which is that is a key area. I don't know if liquid alternative exactly the right word, but the more liquid end of our credit capability being something that some of the peers are focused on is also something we are focused on that also is more topical today. And the reason it's more topical today is because rates are higher and spreads are wider and suddenly the absolute returns available from that type of activity sort of catch a lot of attention frankly across a pretty broad swath of investor types. So that is not lost on us. We are actively forming capital around that particularly in the insurance space. But as you mentioned some of what we have going on in the corporate side doesn't necessarily help accelerate that process. So yes and yes, I guess, is the answer to your question. 
Bill Katz: Thank you.
Operator: I'm not showing any further questions. I will now turn the call over to Ms. Conti. 
Ellen Conti: Thank you operator, and thanks everyone for joining us today and for your interest in Sculptor Capital. If you have any questions, please don't hesitate to reach out.